Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Seanergy Maritime Conference Call on the Fourth Quarter 2015 Financial Results. We have with us Mr. Stamatis Tsantanis, Chief Executive Officer of the company. At this time, all participants are in listen-only mode. I must advise you this conference is being recorded today, Tuesday, March 15, 2016. Please be reminded that the company publicly released its financial results which are available to you to download on the Seanergy website at seanergymaritime.com. If you do not have a copy of the press release, you can contact Capital Link at 212-661-7566, and they'll be happy to send it to you. Before turning the call over to Mr. Tsantanis, we would like to remind you this conference call contains forward-looking statements as defined in Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, considering future events and the company’s growth strategy and measures to implement such strategy. Words such as expects, intends, plans, believes, anticipates, hopes, and estimates, and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, competitive factors in the market in which the company operates, risks associated with operations outside the United States, change in rules and regulations applicable to the shipping industry, and other risk factors included from time-to-time in the company’s annual report on Form 20-F and other filings with the Securities and Exchange Commission, the SEC. The company’s filings can be obtained free of charge on the SEC’s website at www.sec.gov. The company expressly disclaims any obligations or undertaking to release publicly updates or revisions to any forward-looking statements contained herein to reflect any change in the company’s expectations with respect thereto or any changes in events, conditions or circumstances on which any statement is based. Now I will pass the floor over to Mr. Tsantanis. Please go ahead, sir.
Stamatis Tsantanis: Thank you, Tracy. Good morning, everyone, and thank you for joining our call. Today, I will discuss the most important developments of 2015, and then I will briefly go through our financial results for the fourth quarter and the full year of 2015. 2015 was another landmark year Seanergy. We started the year with no ships and zero deadweight tons and we ended the year with eight high quality vessels. We took advantage of the tumbling asset value environment and spend more than $200 million to rebuild our fleet. On December 7, we took delivery of our final vessel for the year and our fleet grew – and the fleet now consists of six Capesizes and two Supramaxes vessels, reaching a critical mass of 1.1 million deadweight tons of cargo carrying capacity. We also achieved favorable financing arrangements to fund our acquisition. More specifically, we secured five bilateral senior loan facilities from major European financial institutions as well as a private investment by our sponsor. The terms agreed with our relevant loan agreements will allow us to preserve our cash flow during a period that the dry bulk market is still recovering and charter rate are very low. In particular, there are no principle repayments on seven vessels for the next 18 to 24 months which will result in lower daily breakeven rates than most of our peers. Over the same period, our lenders have granted covenant wavers on all the facilities. We strongly believe that our fleet expansion represent a unique opportunity for investors to participate in a market recovery. This is due to our substantially lower vessel acquisition cost which is more than 35% lower than what our peers spend in the previous years for similar vessels. In addition, our favorable financing arrangements separate us from most public companies in the dry bulk space. Turning to the financial results, as of December 31, 2015, the company’s total assets were $209.4 million compared to just $3.3 million in 2014. Our shareholders’ equity reached $23.3 million on December 31, 2015 compared to $2.7 million in 2014. In the 12 month period ending December 31, 2015, Seanergy recorded net revenue of $11.2 million as opposed to $2 million in the 12 months ending December 31, 2014. The valuation is due to differences in fleet size between the two periods as ownership days increased to 776 from 268. The Time Charter Equivalent rate earned by our vessels during the 12 months of 2015 amounted to $6,202 per day up from $5,014 in the same period of 2014. For the fourth quarter of 2015, Seanergy reported net revenue of $6.8 million compared to no revenues in the same period of 2014 due to the absence of an operating fleet following the financial restructuring of the company. The Time Charter Equivalent rate and by our vessels during the fourth quarter of 2015 are amounted to $5,034 per day. Turning to the market overview, the weakness currently seen in the Capesize freight market is mainly attributed to the combination of the increased vessel supply seen over the last few years and the slowing growth in the demand for dry bulk transportation. Looking into the future, there are two main reasons to be optimistic. Firstly, the demand outlook for the Capesize sector is favorable and still producing countries opt for more imports over expensive domestic iron ore mining. Secondly, bulk market conditions are leading to vastly reduced new building altering, while encouraging accelerating vessel demolition. On vessel supply, Capesize orders in 2015 fell by about 84% compared to 2014, and so far there has been no new building order at all in 2016. The unfavorable charter market and difficulty in obtaining financing, suggests that the trend is unlikely to reverse soon. Secondly, historically high demolition sales are further restricting supply. More specifically, in 2015, Capesize cropping came in at about 15.8 million deadweight tons and exceeded combined figures for 2013 and 2014. In 2016, another record strapping year is expected. We see increased demolition currently occurring as current market conditions make it uneconomical for many ship owners to continue operating vessels at rates that don’t cover operating costs. This is especially through for vessel that has to pass expensive dry bulk surveys to continue trading. The Capesize fleet in 2016 is projected to remain at 2015 levels due to the combining effect of demolitions and slippage of deliveries. We consider that 2015 and 2016 zero increase of Capesize fleet as a very positive element for the market. Based on these factors, we expect a tightening market balance for the next few years. As a result, we should expect soon and not pertain in charter rates and asset values. As a final note, we are in a unique position to be expanding or fleet by taking advantage of the lowest part of the shipping cycle of the last 30 years. We strongly believe that Seanergy represents a unique investment platform to capitalize on the improving market fundamentals. Thank you for listening to our call. And I will pass back to the operator. Tracy, thank you.
End of Q&A: Thank you. That does conclude this conference for today. Thank you all for participating. You may all disconnect.